Operator: Good morning ladies and gentlemen, and welcome to The Natural Gas Services Group Second Quarter 2021 Earnings Call. At this time, all participants are in listen-only mode. . Your call leader for today's call are Alicia Dada, IR Coordinator; Steve Taylor, Chairman, President and CEO. I'll now turn the call over to Miss Dada. You may begin.
Alicia Dada: Thank you, Erica and good morning listeners. Please allow me a moment to read the following forward-looking statement prior to commencing our earnings call. Except for the historical information contained herein, the statements in this morning's conference call are forward-looking and are made pursuant to the Safe Harbor Provisions outlined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements as you may know, involve known and unknown risks and uncertainties, which may cause Natural Gas Services Group's actual results in future periods to differ materially from forecasted results. Those risks include, among other things, the loss of market share through competition or otherwise; the introduction of competing technologies by other companies; and new governmental safety, health or environmental regulations, which could require Natural Gas Services Group to make significant capital expenditures. The forward-looking statements included in this conference call are made as of the date of this call, and Natural Gas Services undertakes no obligation to publicly update such forward-looking statements to reflect subsequent events or circumstances. Important factors that could cause actual results to differ materially from the expectation reflected in the forward-looking statements include, but are not limited to, factors described in our recent press release, and also under the caption Risk Factors in the company's Annual Report on Form 10-K filed with the Securities and Exchange Commission. Having all this stated, I will now turn the call over to Stephen Taylor, who is President, Chairman and CEO of Natural Gas Services Group. Steve.
Steve Taylor: Thank you, Alicia and Erica and good morning, everyone. And welcome to the Natural Gas Services Group's second quarter 2021 earnings review. Thank you for tuning in to our call. As noted in our quarterly earnings press release, the second quarter represented an important inflection point for our company. We sell 80 compression packages in this quarter including our record 28 new high horsepower units, with a majority of the high horsepower units being deployed off of standby status. Not only all of these units represent additional future revenue and profits for NGS, but the deployment of these high horsepower units continue to reinforce the success of our strategy to evolve toward a higher horsepower fleet. Clearly, higher energy commodity prices return to new production activity especially in West Texas, and overall, all sales activity provide a positive environment for our business. While we are carefully watching new variants of the Coronavirus and any impact it may have on the overall economy, we are cautiously optimistic that the macro environment will provide continued opportunities in the second half of the year. We are pleased with the progress on our rental fleet in the quarter. Of the 80 compressor packages set, over 50 of those were in the Permian Basin, and of that more than half are large horsepower units. Certainly progress, the progress does not come without costs, many of which occur ahead of realizing for quarterly rental revenues on new set equipment. Setting a record number of higher horsepower units had such an impact. The setting commissioning and starting of this many units increased our partial labor costs, as well as the cost of everyday consumables such as oil and antifreeze. This resulted in some mismatch between revenues and expense, which are timing issues that will naturally resolve themselves over the next couple of quarters. The third quarter, which we anticipate to be active, but not at the level we saw this quarter will give us an opportunity to deliberately manage those operational expenses. In addition, some repair and maintenance costs were higher than normal in the quarter result of catching up on non-critical maintenance that were deferred at customer's request during the pandemic. We have also seen inflationary pressures which we plan to mitigate by adjusting our rental rates in the last half of this year. As we noted in previous discussions, we worked tirelessly with customers during the past year to ensure we met their safety protocols, as well as protecting our own team members which resulted in some cases in light of our preventive maintenance schedules, which we are presently addressing. Significant progresses made in the first half of the year with a more modest level lingering into the third quarter. While our total revenue decreased 4% sequentially driven by a decrease in sales revenue, both our rental and services maintenance revenues improved this quarter. Rental revenues increased 2% sequentially due to the higher deployment of rental units and service and maintenance revenues grew over 60%. Additionally, we generated adjusted EBITDA of $4.5 million and $5.4 million of operating cash flow during the quarter. Now let's look at the financial details of the quarter in greater detail. Looking further at revenues, NGS reported total revenue $17.7 million for the second quarter 2021. This is a 2% increase from the same quarter in 2020 or about $345,000 and as a result of a 3% increase in rental revenues, balanced against a 22% decrease in sales revenues. As you know, the largest component of our sales revenues is compressor sales, and it is historically volatile. This decrease in sales revenue was primarily due to the absence of realized compressor sales during the period. When comparing consecutive quarters, we had a decrease in total revenues of 4% or about $648,000. This is driven by $1.1 million decrease in sales revenue, which is only partially offset by rental and service and maintenance growth of nearly $500,000. While our sales revenue fluctuates with our customers capital needs, our rental revenues have grown 2% and 3% respectively, in both sequential and year over year quarters. Significantly, in contrary to industry trends, NGS had increases in real revenue in both quarters of this year. Total adjusted gross margin for the three months ended June 30, 2021 decreased to $6.6 million from $8.8 million the same period ended June 30, 2020. Adjusted gross margin which does not include depreciation for the three months into June 30 was 37% of total revenue. As noted earlier, margins were impacted by higher repair and maintenance costs, increased labor cost and setting commissioning and startup expenses related to the growth in rental compression deployment. Sequentially, adjusted gross margins for the second quarter of 2021 decreased to $6.6 million from $8.6 million in the prior quarter. As a percentage of revenue, adjusted gross margin decreased 37% this quarter compared to 47% in the prior quarter. SG&A or sales, general and administrative expenses were down 2% in both the year over year and sequential periods. Operating loss for the second quarter of 2021 was $2.3 million, compared to a loss of $148,000 in the second quarter of 2020. Sequentially, operating loss decreased by $1.9 million from an operating loss of $369,000 in the first quarter of 2021. Operating loss has increased in both compared to quarters primarily due to the aforementioned higher rental and commissioning expenses, and a greater loss in our compressor sales product line. Our net loss after tax for this quarter is $1.9 million. This compares to a net income of $165,000 in last year's second quarter and net loss of $394,000 in the first quarter 2021. We reported a loss per diluted share of $0.14 for the second quarter 2021 compared to an income of $0.01 per diluted share in the second quarter of 2020. Sequentially, we reported a loss of $0.03 per diluted share in the first quarter this year. EBITDA is defined as earnings before interest, taxes, depreciation and amortization and our adjusted EBITDA excludes inventory allowances, charges incurred due to fleet retirements, and stock compensation expense. All of which are non-cash expenses. Adjusted EBITDA for the three months ended June 30, 2021 was $4.5 million, a decrease from $7.1 million the same period last year. Adjusted EBITDA decreased approximately $1.8 million sequentially from $6.3 million last quarter to $4.5 million in this quarter primarily due to higher expenses resulting in lower margins. Beginning of the first quarter 2021, we have also added back non-cash equity compensation to our calculation of adjusted EBITDA and have adjusted comparable quarterly data to provide for accurate comparisons. Total Sales Revenue, which as a reminder includes compressors players and product sales was $1.6 million this quarter. This is a decrease from $2 million year over year and is down from $2.7 million last quarter. The decrease in both comparative quarters was primarily driven by lower compressor sales. For the current quarter, we had total sales adjusted gross margin loss of $204,000. This compares to positive gross margins of $148,000 in the second quarter of 2020 and positive gross margins of $95,000 in the first quarter of this year. Although we have some longer lead projects being currently worked on, we recorded no compressor sales revenue in the second quarter of 2021. This compared to compressor sales revenues of $1.4 million in the second quarter of 2020 and $1.9 million last quarter. Due to the absence of any recorded revenues this quarter and an absorb cost, compressor only sales margin supposed to the loss of $641,000 for three months ended June 30, 2021, compared to a loss of $127,000 for the same period a year ago, and a loss of $136,000 last quarter. Our sales backlog as of June 30, 2020 was approximately $2 million, compared to approximately $400,000 in the first quarter of this year. Interestingly, approximately three quarters of this current backlog is for gas compression equipment that will be employed in energy transition projects. Not surprisingly, we're seeing more inquiries for this type of work than we have in the past. And currently those inquiries exceed those of our traditional wellhead natural gas type fabrication work. The development of these markets over time will come with quite a bit of volatility. But NGS does possess the in-house technical expertise to participate and as becoming known in these markets. Rental revenue for the second quarter of 2021 was $15.6 million, compared to $15.1 million, an increase of 3% since the second quarter last year. For the sequential quarters, rental revenue grew to $15.6 million from $15.3 million last year. While compression industry revenue trends have generally been negative this year, this is our second consecutive quarter of rental revenue growth, and is a testament to our high horsepower efforts and adaptation from our customers. If you recall, rental revenues in the second quarter of 2020 over the last quarter pre pandemic growth and prior to the related revenue impacts recorded in Q3 of 2020. The fact that our rental revenues over the last 12 months have exceeded that level of significant test our success and grow in this primary strategic part of our business. Rental rates increased by an average of 4.2% per unit in the year over year quarters and 3.2% sequentially, mainly due to our continued penetration to the larger horsepower market. In this quarter, we set a total of 41,000 - the lower 41,000 horsepower. Terminated horsepower was almost 12,000 horsepower, which results in a net gain of around 30,000 horsepower. You may notice that the amount of horsepower set does not coincide with the change in our quarter record utilization numbers. That's because we were already carrying the majority of the newly set horsepower is utilized on standby basis, so there is no additional horsepower added to the fleet or the utilization calculations. Just units move from the yard to location and setting conditions. With this much new horsepower being set, commissioned and started up, our expenses increased while only some of the rental revenues recorded due to incremental rate increases in partial quarters. We therefore had a timing mismatch between the expenses incurred and partial quarterly rental revenues. As such, our gross margins were lower than anticipated. Reported rental adjusted gross margin, this quarter were 42%, decrease from both comparative of 56% year over year, and 53% sequentially. To explain the expense scenario this quarter a little more detail, the majority of which was experienced in Permian Basin. We weren't able to record a full quarter full revenue from unit sale in the quarter, but we did experience a full quarter's worth of expense. We sold over 50 units in the Permian Basin alone in the second quarter. For the company, this is the most horsepower we have set in single quarter and it drove a lot of expense. Setting, commissioning and starting this amount of equipment takes a lot of manpower, parts, oil and antifreeze which are not insignificant expenses in volume. Along with that, we've then hired a number of technicians and adding service vehicles to the fleet. Some of our costs have been delayed from last year. For example, engine emissions testing that had been delayed our customers in 2020 were resurrected with a large number of performances this quarter. This expense was exacerbated by large parts cost increases due to the precious metals contained in these catalysts. This also points out the inflationary pressures we are facing from parts to fluids labor, oil alone is 30% higher than a couple quarters ago, antifreeze has shown a similar magnitude of increase. For perspective, of the bearish expenses show a large expense over quarters, the dollar cost per horsepower increased approximately 30%, still substantial than a little more in perspective. This expense anomaly should correct itself in next couple quarters, when we will have four full quarters of revenue and the setting commission expenses are largely behind us. That said, we have a backlog of really against us hitting the third quarter. And we will experience the same timing phenomena. But the volume of equipment being commissioned isn't as high and we anticipate margins climbing back to our traditional levels over the next couple quarters. Setting larger horsepower, of which most of this entails higher initial expenses, but this is a good new scenario. Revenues were up, contracts are long, and these expenses are mostly behind us. Fleet size at the end of June 2021 totaled 2257 compressors or 446,803 horsepower was included in net addition of 19 units or 4890 horsepower in the second quarter. As of June 30, 2021 37% of our utilized horsepower is classified as large. For the past 12 months, we have added 42 new fleet units totaling just under 13,000 horsepower, where 61% of that horsepower being classified in our large horsepower category. Our horsepower utilization is approximately 64% and unit base utilization was a bit over 55% as of June 30, 2021. Our capital expense for completed rental fleet units, which does not include work in progress in the second quarter was approximately $5.9 million for rental equipment. We previously projected capital expense budget of $15 million to $20 million this year and with the $5 million capitalized in the first quarter, we're pretty well on track with our projections the first half of this year. Moving to the balance sheet. As mentioned last quarter, we established a new credit facility with a $20 million borrowing base, but with no borrowings outstanding. Our cash balance at the end of the second quarter was $26.2 million. This compared to cash a year ago a $15.5 million and last quarter of $30.7 million. The combination of our cash balance and untapped credit line continues to provide ample liquidity in nearly any conceivable scenario. We generated positive net cash flow from operating activities in this quarter of $5.4 million or 30% of our quarterly revenue. We also reinvested $1.9 million back into the company through common stock buybacks this quarter. We will continue to repurchase shares, as we believe the fair value of the enterprise is well above that currently reflected in public markets. In conclusion, NGS remains one of the few companies and also with a strong recurring revenue stream, no debt, a significant cash position, and the ability to consistently generate positive operating cash flow. As we emerge from the trough of the cycle, our new business should provide opportunities for new revenue and profit growth. While we are constantly optimistic about the second half of the year, as underlying energy demand has helped stabilize energy markets, we remain vigilant and are watching macro trends that can impact our industry and business. We will continue to focus on balance sheet strength and opportunities that will create long term value. As I said before, our success is a result of the commitment of all members of the NGS team to make certain our customers are satisfied and appreciated. Our ability to meet challenges of the past year have proven our team is among the best in the business. They deserve our thanks and appreciation for a job well done. We look forward to continuing our pending responsible growth, balance sheet stewardship, and responsiveness to our stakeholders as we look forward to the second half of 2021. Erica, that's the end of my prepared remarks. So, if you would please open the phone lines for any questions.
Operator: Ladies and gentlemen, at this time, we will conduct the question-and-answer session.  Our first question comes from Rob Brown from Lake Street Capital. Please state your question.
Rob Brown: Morning, Steve.
Steve Taylor: Hey, Rob.
Rob Brown: Just wanted to get a little bit into the pricing environment. You talked about some of the costs going up. Are you able to pass that into the pricing or tabling your pricing was kind of moving up but maybe how the pricing environment at this point?
Steve Taylor: Well, we're going to have some price increases in the balance of the year. We we've been moving some up slightly but the environment - the inflationary environment has really started to take effect pretty quick. So, we're planning on another one with magnitude right now, but we are planning on rental increases pretty well across the board the balance of the year. Well, we're seeing everything. I mean, steel is going up and steel doesn't matter too much except on new builds. But like I mentioned, oil going up obviously, so as expected one, antifreeze exact middle of these catalysts that stuff has been especially impacted by supply chains. And hopefully some of this stuff mitigates itself. But I'm not so sure. And so, from an inflationary standpoint, we have to take a wait and see attitude from that standpoint, but we're not taking a wait and see on some prices we've got to increase, which is what we're going to do.
Rob Brown: Okay, great. And then you talked about some new unit placements coming in Q3 maybe at a lower rate than Q2, but how is kind of the new unit placement demand market happening now? And what do you sort of see after Q3 in terms of entering the fleet?
Steve Taylor: Q3 is going to be a lower level than Q2, which actually is not bad, because Q2 was such a high volume of equipment going out that, just everybody's just extremely busy and took lots of people in parts and manpower, et cetera to do that. So, Q3 been a little lower level is not a bad thing, kind of gives us a little chance to take somewhat of a breath and get concentrated on revenue increases and manage costs. So, that's I think Q3 is going to have good level. Beyond that, certainly, from a sales standpoint, sales are still pretty constricted from standard wellhead natural gas sort of businesses. I mentioned, we're actually seeing more energy transition projects than anything, and that's not a real high level. Yeah, we think they'll grow over time. But the sales perspective is pretty muted right now from traditional aspect. And from rental point, we think Q4 is going to be busy as little hard right now to put a finger on, we don't have a whole lot of projections for Q4 and that kind of sounds funny when we're sitting here in August. But, we think, we know of some big equipment going out, some little equipment going out. But certainly, between now and Q4, we anticipate more being added more being scheduled and stuff like that. So, the operators have, I think have surprised a lot of people with their constraints on activity and drilling and things like that for picking up activity, we think it is certainly from projects that were put on hold last year, that are going forward now. Certainly, the commodity level, even though it's so low thoughtless lately is still a lot better than what it was. So, we anticipate a good balance of the year. It's just hard to put a finger on Q4 right now until we get a little closer to it.
Rob Brown: Okay, good. And then just one of the loopback that energy transition project comment, what types of projects are you doing in that role that is that? Can that be a rental market as well?
Steve Taylor: I'm not going to tell you exactly what kind of project just from a competitive standpoint. And it could be a rental market, we'll see. It's pretty nascent in its evolution. So, it's hard to tell, right now the jobs we've got and inquiries we've received have pretty well been just off relationships and kind of out of the blue, some hot. I mean, we know the markets out there, and we know where we can participate, et cetera. But, a lot of this is just coming from, word of mouth, our name getting out there and so that we can do some of these projects. And, these projects tend to be fairly highly engineered, when you start working with some of the exotic gases and things like that. It's a little different. And that's actually why I mentioned we've done work. We've done compressor work on jobs this quarter. We have recognized in the UK has not completed, but they're taken a fairly long time from engineering to procurement to build on some of that stuff. So, we see lonely projects. Rental, maybe. We're not necessarily opposed to it, kind of depends on the term and in the REITs. But certainly, the sell thing is here right now. And at least this quarter is pretty substantial. It's going to be volatile, maybe once we finish each project, we don't get anything for another quarter or two, or whatever. But it's certainly focused us on some of those markets and what we can do and I think the customers out there are starting to see some of that, too. So, that's my best prognostication on a market that's really just started the last couple quarters for us.
Rob Brown: Okay, great. Thank you. I'll turn it over.
Steve Taylor: Yeah. Thanks, Rob.
Operator: Our next question comes from Tate Sullivan from Maxim Group. Please state your question.
Tate Sullivan: Hi, thank you. Hi, Steve, and following up your last comment on the energy transition, just to clarify, most of the $2 million backlog, is that what you referred to as energy transition, are away from the wellhead, is most of that those kinds of projects?
Steve Taylor: Yeah, yeah, three quarters of it. So, the backlog is about $2 million. So approximately $1.5 million of it is energy transition projects. And, obviously, I'm using the energy transition recoveries. Number one is a great buzzword right now. And number two, I don't have to tell you exactly what the projects are.
Tate Sullivan: Okay. Just to clarify that. Yup, understood. And then is in a more of all, I don't know if it's the right word is normal operating environment or excluding all what's happened with the COVID timing in the last year, is parts replacement work that you usually do fixed at the time of the contract or is it a lower margin business usually compared to the rental business?
Steve Taylor: Now, which part of the business you said parts?
Tate Sullivan: You mentioned replacement, some backup work related to replacing parts or service work on the compressors? Or is that the emission standards that you talked about?
Steve Taylor: Yeah, that was more customer requested deferred maintenance. Obviously, a lot of things slowed down last year, just from the point of, primarily COVID and everybody be careful and stuff. And some of this maintenance at one absolutely necessary either through equipment requirements or anything else, some customers opted to push it back. And now that we're in a little different environment and kind of coming into a stronger year, we've rescheduled some of these things. And a lot of it was emissions testing, which drove a lot of catalyst purchases, which are I say expensive to start with, but we've seen quite an inflationary hit on that just due to the metals. And so, it was just primarily catching up on some deferred maintenance, some parts costs there, and some labor too.
Tate Sullivan: Okay, and then did I hear correctly, the quarter over quarter prices were down, but is that your calculation based on not burning the full rates on the deployed equipment from this quarter - from the second quarter? Or did I miss here that?
Steve Taylor: No prices, you're talking about rental prices?
Tate Sullivan: Yes, yeah. The price, yes, the average rental price per unit across your fleet?
Steve Taylor: No, it went up. It was up, I remember at 3% to 4% year over year and sequentially. So and again, that's primarily driven by that large horsepower going out.
Tate Sullivan: Yup. And then with the hiring efforts, and maybe it's related to that deferred maintenance, are you back to levels where you were before COVID, or can you comment on that?
Steve Taylor: As far as headcount?
Tate Sullivan: Headcount. These are hours worked in the field?
Steve Taylor: Yeah, we're above that from a headcount standpoint. So, revenues are about 3% above last year headcount. Well, the field count is higher. The fabrication facility count is lower, just because of the differences in activity, so I would guess that our overall headcount is lower due to the Q2 2020 being pre pandemic and then Q2 now. But it's been a shift a little fabrication employment down some and field employment up.
Tate Sullivan: Okay, great. Thank you, Steve. Have a great rest of the day.
Steve Taylor: Yeah, thanks Tate.
Operator:  At this time, we have no further questions.
Steve Taylor: Okay. Thanks, Erica. And thanks everyone for joining us on this call. I appreciate your time this morning and look forward to visiting with you again next quarter. Thank you.
Operator: This concludes today's conference call. Thank you for attending. You may now disconnect.